Heather Nikkel: Okay. I think we'll go ahead and get started. Good morning, everyone. Thank you for joining us, and welcome to Artis' Second Quarter 2021 Results Webcast.  My name is Heather Nikkel, and I'm Vice President of Investor Relations at Artis. With me today is Artis' CEO, Samir Manji; CFO, Jaclyn Koenig; COO, Kim Riley; and Executive Vice President, U.S. region, Phil Martens. Shortly, I'll be turning the floor over to Samir for opening remarks, after which there will be a question-and-answer session . Our second quarter 2021 results were disseminated yesterday and are available on SEDAR and on Artis' website.  Before we get started, please be reminded that today's discussion may include forward-looking statements. Such statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today. We have identified such factors in our public filings with the securities regulators and suggest that you refer to those filings. As we discuss our performance, please keep in mind that all figures are in Canadian dollars unless otherwise noted. I would also like to note that today's webcast is being recorded, and a replay will be available on our website later this afternoon until Thursday, November 4th. With that, I will turn the discussion over to Samir.
Samir Manji: Thank you, Heather. Good morning to those in the West, and good afternoon to those in the East. Welcome, and thank you for joining us for our second quarter 2021 results webcast. We recognize that most of you have reviewed already the results. So in being mindful of your time, we're going to follow a similar format to our last quarterly call. I'll keep my comments brief, and we'll then transition to our Q&A session. During the quarter, we made strong progress in executing our business transformation plan. We completed several significant strategic dispositions, including the announced sale of our GTA industrial portfolio. Of the 28 property portfolio, 26 closed on July 15th. One is expected to close in the third quarter of this year and one is no longer under sale agreement and will be marketed for sale.  The GTA industrial sale will generate an increase to our taxable income. As such, we expect to make a special distribution to unitholders. The amount and form of such distributions will be determined later in the year as our taxable income will be dependent on activity to be completed throughout the remainder of the year. In the second quarter, we also entered into an unconditional sale agreement for two smaller industrial properties in Winnipeg, which closed subsequent to the quarter and an unconditional sale agreement for two retail properties in Regina, which is expected to close later this month. Also during the quarter, we were very pleased to have broken ground on Blaine 35 and nearly 320,000 square foot three-building industrial development project on Interstate 35 in Minneapolis. In terms of our balance sheet and liquidity, at June 30th, we reported improvements to two key performance indicators that are critical to the execution of our business transformation plan. The first is net asset value, which increased to CAD16.78 per unit from CAD15.03 at December 31, 2020, primarily due to the fair value gain on investment properties, net operating income, and the impact of units purchased under the NCIB. The second key metric is debt to gross book value, which decreased to 47.5% from 49.3% at December 31, 2020. During the quarter, we continued to use our NCIB to buy back 2.9 million common units and 49,000 preferred units. And lastly, we began to accumulate our position in our first public security investment and look forward to building upon that investment and focusing on our value investing strategy as part of the next phase of our business transformation plan. We've accomplished a lot since the announcement of our new strategy in March, but there's still a lot of work to be done. We continue to focus on identifying and optimizing operational efficiencies, both with respect to our portfolio of properties and internally as it relates to our policies, procedures, and realigning roles and responsibilities to support our new vision and strategy. In June, we published our annual ESG report and under the stewardship of our Chief Operating Officer, Kim Riley, we've taken significant strides towards prioritizing and enhancing our ESG initiatives while determining how we can better serve our tenants and create value for our owners. We are pleased with what has been accomplished so far, and we're confident in the strategy and the team we have in place at Artis. We look forward to continuing to demonstrate our ability to execute our plan and to deliver on our commitment to create long-term value for our owners. That concludes my remarks. I will turn it back to Heather to moderate our Q&A session.
A - Heather Nikkel: Thank you, Sameer. Our first question is from Jonathan Kelcher with TD Securities.
Jonathan Kelcher: First question, just on the Toronto Industrial, why was that one property dropped?
Samir Manji: We had in the late stages of the process. We had a couple of technical-related items that came up specific to one property that we're confident can be addressed. But in collaboration or conversation with the buyer, we collectively agreed that we didn't want to delay closing, and it was best for us to simply remove that asset from the mix. So as to stay with the timeline and the agreement that we had with the buyer. So to wrap up by July 15th, it just made practical sense to remove the asset from the overall mix.
Jonathan Kelcher: Okay. Do you anticipate any issues selling that asset this year?
Samir Manji: No.
Jonathan Kelcher: Okay. And you talked about having to do a special distribution. You said the amount in form still to be determined. What form could it take? What are the different forms it could take?
Samir Manji: I think the practical reality is that it could -- it would likely be a cash distribution. But there have been examples in the past where special distributions have taken the form of units, as you're aware, Jonathan, with -- then are consolidation of the units on the other end. But we're still working through all of that and anticipate we'll be able to report back towards the back end of the year.
Jonathan Kelcher: Okay. And then I guess my last question. You started buying securities this quarter and bought some more post quarter, but didn't say what they were. So I'm guessing you're not going to tell me now. But what level of investment has the Board decided that unitholders should know what the Company is buying or what Artis is buying?
Samir Manji: Just in terms of the strategy with respect to investing in public securities, we're mindful of a number of factors that play there. And under the guidance and stewardship of the Board of Trustees, we intend to remain muted in publicly declaring or disclosing the specific securities for obvious reasons, including the ability we want to continue to have, in the interest of unitholders of Artis, to be able to accumulate at optimal prices. And we wouldn't want to come out prematurely to disclose what we are acquiring, knowing that there is a possibility that doing so could cause potential fluctuation in the price of the shares or units of the investee company. And so I think for the time being, one should anticipate that in all likelihood, we would only come out and declare the name of a specific investee company if and when we were required to from a regulatory perspective. And generally, that would translate into us, if at any point, getting to a point where we crossed 10% ownership in that investee company to then come forward and provide that disclosure. I think generally, one should make that assumption. It could change, but I think that would be my expectation.
Jonathan Kelcher: Okay. So if -- now is Sandpiper buying alongside Artis in this investment? And is the -- in your example, if the two entities combined hit 10%, does that get disclosed? Or can you both go to 9% without disclosing anything?
Samir Manji: The first part of the question, it'll vary investment to investment. At the end of the day, we have a process that has been established with the investment committee of the Board and the Board as a whole to ensure that, one, there is full disclosure insofar as Sandpiper's involvement with any prospective investee entity. And secondly, insofar as the strategy that we choose to pursue on the Artis front, in some instances, it would entail a co-investment and in other instances, it wouldn't. We'll ensure, in that regard, that there is adequate disclosure based on what has been agreed to between Artis and Sandpiper.
Jonathan Kelcher: Okay. So is Sandpiper co-investing in this investment with Artis?
Samir Manji: Yes.
Jonathan Kelcher: Okay. Is it a 50-50? Or what's the split?
Samir Manji: Yes, 50-50.
Jonathan Kelcher: Okay. So you've -- between the two entities, you bought CAD36 million or CAD37 million worth of shares.
Samir Manji: I think subsequent to quarter end, Jonathan, there was a second investee company identified. And so there would be a separate breakdown that would not relate just to the first investee company. And in the second investee company, there is not a co-investment agreement or arrangement in place.
Heather Nikkel: Our next question is from Matt Logan with RBC Capital Markets.
Matt Logan: In terms of the special distribution, can you tell us the taxable income, inclusive of the recapture and the capital gains?
Samir Manji: I'm not sure we're ready to provide those details, but I will pass it over to Jacky to see if she'd like to comment.
Jaclyn Koenig: We have -- we're working with our advisers on initial estimates. But again, I don't think we have the full details ready to be disclosed.
Matt Logan: Okay. Maybe changing gears in terms of your IFRS cap rate for your GTA industrial portfolio. Can you talk about how that compares to the transaction cap rate for the deal? Because it seems like the IFRS cap rate is a little bit higher than what we've heard or have calculated ourselves.
Jaclyn Koenig: I can take that one, Matt. The cap rate that we discussed previously was based on in-place income. The rates disclosed in our MD&A table are based on stabilized income, and that factors in an increase in our in-place rents in the quarter in comparison to our market rents.
Matt Logan: In terms of the proceeds from that sale, a lot of that seems to be allocated towards deleveraging. Do you have a specific leverage target for, say, year-end 2021 and year-end 2022?
Samir Manji: We don't have a specific target. What we had previously conveyed, Matt, was that there was a desire to see leverage be well below 50%. And we are certainly now sub-50 and on our way further down from where we are at quarter end. I would say that, more importantly, what this allows for, as we had presented in our March presentation on the go-forward plan and strategy is fortifying the balance sheet and providing us with a strong level of flexibility financially to be able to pursue and explore investment opportunities that we think would provide significant above-average risk-adjusted returns and value creation for unitholders.
Matt Logan: Great. And last question for me. Jonathan had asked about your level of disclosure with respect to public securities, while you're not going to disclose until you hit a regulatory threshold, is there a point where the materiality of the securities investments, I don't know if that's in the tens of millions or hundreds of millions. Is there a point where you'd consider disclosing more to unitholders?
Samir Manji: It's a good question. By the way, I didn't cover one piece of Jonathan's earlier question related to whether that 10% threshold would be Artis alone or in situations where there is a co-invest with Sandpiper. It is the aggregate because, in our view, there would be joint influence in light of the relationship between Artis and Sandpiper. So if at any point on a specific investee entity, collectively, we crossed 10%, whether it would be required from a regulatory and security standpoint or not, we're going to take the more conservative approach and provide that disclosure. And then, Matt, going to your question, I think it's early days. We have CAD4.9 billion of assets at quarter end on our balance sheet. And so with the CAD6 million line item at June 30th, and even if that were to go into the tens of millions of dollars, I don't think from a materiality standpoint relative to our overall asset base as that would happen in the near term. Having said that, certainly, if over a period of a number of years, this were to become under the Board's stewardship and strategic direction, a larger proportion of the overall asset base, then, of course, that may change the thinking and methodology that we choose to pursue.
Heather Nikkel: The next question is from Mike Markidis with Desjardins.
Mike Markidis: I was just wondering, it's been incredibly active. Well, first of all, you guys executed extremely rapidly on monetizing your GTA portfolio. I know you've talked about wanting to monetize most of it in some way, shape, or form in a relatively quick time manner. And then south of the border, we're seeing a tremendous amount of activity, both in terms of entire portfolio sales and creation of funds, which seem to, I guess, in my opinion, perhaps disadvantaged unitholders. So just wondering if you've been reviewing those transactions, what you've seen, and if that has influenced your strategy with respect to how you look at the U.S. industrial portfolio going forward.
Samir Manji: Mike, can you clarify how you made reference to being disadvantageous? Can you just expand on that?
Mike Markidis: Sure. I would just make the comment that it would seem to me that sales of complete portfolio is 100% interest seems to be done at higher values, lower cap rates, better price per foot than perhaps seeding funds would.
Samir Manji: Okay. I'm not sure I'm clear on that point, but that's okay. I'll simply make a quick comment, and I'll pass it over to Phil to provide some additional color on the U.S. industrial market, which I think most are familiar with. Our decision to embark on the GTA industrial sale as part of that critical first step in executing our go-forward strategy and plan. We've spoken about previously and had a very strong motivation on our part to be able to, as you noted, accelerate initially that first set of steps we were taking from an implementation standpoint. And I think as they say, the rest of history, I think we achieved a very positive outcome for the owners of the REIT. We achieved a very solid outcome insofar as that objective of solidifying and fortifying the balance sheet and our liquidity position. That affords us today incredible flexibility but also firepower to be able to explore and potentially capitalize on opportunities that surface and/or are presented to us with a level of nimbleness and a strategic benefit that should, over time, if we're successful, allow us to achieve things that, frankly, I don't believe would otherwise be achievable when it comes to that value investing scheme that we've spoken about previously. But I'll leave my comments to your question there, and I'll pass it over to Phil to talk about U.S. Industrial.
Philip Martens: It's a big topic. And there's a lot of markets right now that are very interesting to investors. And one of the things that we have enjoyed, of course, is how the Phoenix market has moved up to the top five of overall interest. We've seen some substantial amount of influx in demographics because of COVID and how different states respond to it has actually had quite a smooth impact on how industrial is perceived in various markets. I would say that being in Texas and in Arizona, Colorado has been very good for us. That isn't to say that Minnesota is any different. Minnesota, we've had different types of positive impacts, particularly with a certain buyer of taking down a lot of space and allowing market rents to be pushed up. And that's emboldened us not only to raise our own rents there and make our portfolio profitable, but also, we've also continued, like Samir mentioned, to exercise our development arm, so to speak, in that market. And yes, industrial or multifamily are very, very strong throughout the U.S. and yet the appetite is strong. We're seeing rent rates also matching the -- what you're also probably hearing, the supply chain difficulties issues such as metal, in some cases, timber for industrial and also insulation. So we're happy to see that the amount of activity, both in sales but also in leasing are working well together. I can't really speak to overall any type of generalizations because for one generalization, there is an opposite one. So we're nonetheless very excited that we're focusing our development activities right now in Texas and Arizona and Minnesota.
Mike Markidis: Okay. And I guess previously, you guys have talked about -- I can't remember exactly, but I think you said you want to monetize or unlock the value of your Industrial portfolio within a fairly rapid time frame. So notwithstanding your comments, Samir, about being now having that flexibility to start executing on other elements of your plan, what would your update be in terms of the Industrial portfolio? Should we still be expecting most of that to be disposed off within the next six to twelve months?
Samir Manji: No. I think -- and thanks for clarifying that part of your question, Mike. I don't anticipate that in the near term, we are going to be in any rush, having achieved the outcome that we did with the GTA industrial sale. And also, we talked about nimbleness earlier, having also observed what, even in the last few months, post our March announcement, we have continued to witness, including what Phil just referenced. We're going to take our time going forward. Now that we've got close to CAD800 million of liquidity on our balance sheet, we're going to take our time and be opportunistic in terms of both deployment of capital, but also in so far as a further significant dispositions. There are smaller dispositions of a strategic nature that are underway, and that will continue. But insofar as the large-scale portfolio-based divestitures that we would be considering on a preemptive or proactive basis, that's not something we expect. Certainly not for the balance of 2021.
Mike Markidis: Okay. And last one for me before I turn it back. I realize there's still a lot of uncertainty in the office world, but it would seem that the U.S. is ahead of Canada on the reopening front. And I was wondering if any of the Artis team could compare in contrast what they're seeing with respect to office leasing activity in the U.S. portfolio in Canada?
Samir Manji: Sure. I'll let Kim start with Canada, and then we'll invite Phil to talk about the U.S.
Kim Riley: Thanks, Samir. So I'd say, I would agree that the U.S. is ahead of Canada, but we're catching up. Our vaccination rates are higher. And so we're starting to see things open up. Obviously, Alberta has opened wide up and Manitoba has followed recently on Saturday. I guess we're announcing that we're removing our mass mandate and even the return to the office. So the government is actually recommending that businesses get people back in the office. o that's great to see, and I think that'll boost activity. It is relatively slow. It's generally slow over the summer, but we're starting to see it pick up. But I think as we head into the fall, so Artis particularly has a return to the office plan for September. So we're excited to get people back in the office in September and see activity pick up downtown and in the leasing market. So I think as we move into the fall, we'll see that activity pickup. I'll turn it over to Phil to comment on what you're seeing in the U.S.
Philip Martens: In the last, I would say, six to eight months, yes, there's been a lot more activity in office for us, leasing and also occupancy in our buildings. We're now at another strange moment with this next surge and so there is a heightened caution in the last two weeks here in the U.S. overall. Again, how states handle it has been very different. And for example, the difference between Minnesota and Texas is quite different. And so we are watching that. So far, we are still seeing that for our larger tenants, September 1 is still the goal to return to the office. We don't know currently whether or not this variant is going to delay that. We won't be surprised if it does. But we're watching that closely. Not to say that, I mean, we have had some good leasing done in the office markets in Phoenix and we're having good activity in Madison and Minneapolis as well, and that does include even in Minneapolis near CBD market. So we're -- I'm encouraged actually how busy this summer was, be it also industrial, but clearly, also office we've been watching very closely.
Samir Manji: Mike, you're just on mute in case you're trying to -- if you have a follow-up.
Mike Markidis: No. That's it for me. My hand's lowered. Thank you.
Samir Manji: Thanks. Thank you, Mike.
Heather Nikkel: Okay. There are no further questions at this time. So we'll conclude today's webcast. If you have any further questions after the call, please don't hesitate to reach out to me or Samir. And thank you all for joining us. We wish you a wonderful rest of your day.
Samir Manji: Thank you.